Operator: Good day everyone and welcome to the UMB Financial Third Quarter 2014 Results Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Abby Wendel. Please go ahead.
Abby Wendel: Good morning, everyone and thank you for joining us for our conference call and webcast regarding our third quarter 2014 financial results. As you are probably aware, our Kansas City Royals won game sixth of the World Series last night. So our voices might be a little hoarse this morning. We hope you’ll cheer on the Royals tonight as they take on the Giants in the final game of the World Series. And before we begin, let me remind you that today's presentation contains forward-looking statements, all of which are subject to assumptions, risks and uncertainties. Actual results and other future events, circumstances or aspirations may differ materially from those set forth in any forward-looking statement. Information about factors that may cause them to differ is contained in our 10-K for 2013 and subsequent 10-Qs and other SEC filings. Forward-looking statements made in today's presentation speak only as of today and we undertake no obligation to update them. By now, we hope most of you on the call or listening via webcast have had a chance to review our earnings press release that was issued yesterday afternoon. If not, the release is available on our website at umbfinancial.com. Also on our website we have provided supporting slides that contain additional details on some of the drivers and metrics we will discuss today. A link to the slides can be found in the Investors Relations section of umbfinancial.com under News and Events, Presentations. These will also be available after the call for your reference. On the call today we have Mariner Kemper, Chairman and Chief Executive Officer; Brian Walker, Chief Financial Officer; Peter deSilva, President and Chief Operating Officer; and Mike Hagedorn, President and Chief Executive Officer of UMB Bank. The agenda for today’s call is as follows: Mariner will provide high-level commentary on our results and Brian will review details from our financials; then Mike and Peter will review results from our four business segments. Following that, we’ll be happy to answer your questions. And now, I’ll turn the call over to Mariner Kemper.
Mariner Kemper: Thank you, Abby. Go for Royals. Good morning, everyone and thank you for joining us today. As Abby mentioned, we announced our financial results for the third quarter yesterday afternoon. As we detailed in our press release and accompanying slide deck, we finished the third quarter with strong results. As you can see in the earnings summary on page three in the slide deck, net income was $35.6 million, an increase of 3.5% compared to the third quarter of 2013 on total revenue of $214 million. Expenses increased 5.5% year-over-year but decreased 3% on a linked-quarter basis. On the next slide you’ll see return on average assets was 0.90% and return on average equity was 8.77%. The efficiency ratio for the quarter was 72.25% and net interest margin was flat at 2.53% linked quarter. There are several items you should be aware of as you analyze the third quarter results. We added $2.2 million in earn out liability expense for Prairie Capital Management and Reams Asset Management. The adjustment related to PCM increased the liability from $2.4 million and the adjustment for Reams decreased the liability by a $161,000. In the third quarter of 2013, we reported expense of $1.1 million. And second, we recorded $2.5 million in unrealized gains in the third quarter on several Prairie Capital’s investments. Revenue expanded across nearly all of our business lines. Net interest income increased 2.3% due to loan growth; non-interest income increased 4% reflecting year-over-year increases in all income statement line items except for gain on sale of AFS securities, equity earnings on alternative investments and other income. This diversity is a strength for us allowing us to remain well positioned in this continued low interest rate environment. Net loans at the end of the third quarter increased a strong 9.2% year-over-year; on a linked quarter basis net loans increased 2.7%. The third quarter of this year marked our 18th consecutive quarter of loan growth on both the year-over-year and linked quarter basis. Our loan growth continues to outpace the industry. According to data reported by regulated depositories published by SNL on October 27th year-over-year industry loan growth was 5.1% and on a linked quarter basis was 1.6%. C&I and commercial real estate lending activity remained robust with 4.8% and 10.5% into the period growth respectively compared to the third quarter of 2013. Loan growth in these two categories made up more than half of the $596.3 million increase in industry of loan balances compared to the third quarter of 2013. Construction lending was also strong more than doubling the loans in this category from the third quarter of 2013 at $245.8 million. Loan quality remains outstanding. Net charge-offs as a percentage of average loans were 23 basis points for the third quarter, of which 62.3% was related to credit cards. Non-performing loans as a percentage of loans were down 2 basis points to 46 basis points. We are making progress towards meeting our objectives to shift earning assets from fixed income investments to our loan portfolio. Despite the decline in loan yields, interest income grew during the third quarter due to volume changes in the portfolio offsetting the effect in just a compression. Our low cost of funds helps us win new business and retain existing clients while providing somewhat of a buffer against pricing pressure. Because the low interest rate environment persist, loan growth continues to be of most importance as pricing in all loan categories remain competitive. As you can see on slide 9, trust and securities processing income continues to drive non-interest income growth year-over-year. Revenue captured in this part of our income statement includes fees generated by the institutional investment management and asset servicing segments, as well as the private wealth management and corporate trust business within the bank. In the third quarter, trust and securities processing increased a total of 8.2%, our business model has once again proven successful, with the diversity of revenue at the top of the house and across various business lines. Expenses for the quarter were 5.5% higher than they were in the third quarter of 2013. As you can see on slide 10, year-to-date expenses are 10.2% higher than last year. It's important to note however that year-to-date increase in non-interest expense includes $20.3 million in contingency reserve and $7.5 million in adjustment to the earn out liabilities for the acquisition of Reams Asset Management and Prairie Capital. With that, I will turn the call back over to Brian who will provide more detail about our financials and will round out the balance sheet discussion. Brian?
Brian Walker: Thanks Mariner and good morning everyone. To summarize Mariner’s comments on the income statement, third quarter 2014 net income of $35.6 million increased 3.5% compared to the third quarter of 2013. On a linked quarter basis, net income increased 2.8%. To further explain the drivers for net interest income, yield on loans was 3.5% compared to 3.65% a year ago. On a linked quarter basis, yield on loans dropped 1 basis point. As of September 30, 67% of our loans will re-price, amortize or mature in the next 12 months. Looking ahead, the primary interest income lift from our loan book will occur when the Federal Reserve drives the short end of the rate curve higher. As you've seen in our previous disclosures, approximately 50% of Federal loans are variable rates. Today, 48% of those variable rate loans due in one year or less are tied to prime and 50% are tied to LIBOR, the vast majority of which is one month LIBOR. Combining our large C&I book characterized by short tenure and variable rate characteristics with our historic ability to lag the timing and amount of deposit rate increases in a rising rate environment should have a positive impact on earnings and is consistent with our business model and strategy. On slide 11, ‘securities available for sale’ which represents 95.2% of total securities had an average life of 45.2 months in the third quarter down from 49.4 months in the third quarter of 2013 and has a total duration of 40.2 months, down from 46.3 months for the third quarter of 2013. Gradually shortening the investment portfolio by using maturing cash flow reinvestment is part of our balanced approach to manage our position in the current interest rate environment and to benefit in a rising rate environment. For projected roll-off amounts and yields on securities available for sale, please look to slide 11 in the supplemental slide deck. Non-interest income remains a driver toward continued success in executing our business model. Referring back to slide nine, trust and securities processing revenue for institutional investment management increased 2.5% year-over-year. Income from interchange shown in Bankcard fees on our income statement was another strong contributor to interest income or 13.3% growth year-over-year and 1.2% growth linked quarter. On the expense side higher salary and employee benefits expense drove the overall increase in non-interest expense. Salaries increased $3.2 million or 5.9%, and bonus and commission expense increased $3.2 million or 20.3%. Medical insurance cost increased just less than $1 million for a year-over-year increase of 17.1%. Moving to the balance sheet, our average balance sheet grew 4.8% year-over-year and average earning assets increased 5.2% to $14.6 billion. Allowance for loan losses was $77.3 million and allowance as a percentage of total loans is now 1.09% compared to 1.15% a year ago. As management has shared in past conference calls, there are several components that go into applying the same consistent methodology to calculate the appropriate level of allowance for loan losses. Our coverage is slightly less than 2.4 times the amount of non-performing loans, while the medium industry allowance reported for the second quarter would have covered just more than three fourth of non-performing loans. Looking at liabilities. Slide 12 shows end of period deposit growth that non-interest bearing deposits comprised 42.9% of total deposits. This puts us in the top 3% of the industry according to SNL Financials. The high percentage of free funds is a competitive advantage and is reflected in our low cost of funds. Our total cost of interest bearing liabilities was 15 basis points for the third quarter versus 16 basis points a year ago. If you factor in the benefit from free funds, this brings the overall cost of funds down to just 9 basis points. Average deposits for the quarter compared to the same period last year increased $717.1 million or 6.1% to $12.5 billion. On a linked quarter basis, average deposits increased $245.2 million. Average shareholders’ equity was $1.6 billion, a 27.9% increase from the same period a year ago and flat with the second quarter of 2014. Finally, we remain well capitalized with Tier 1 leverage and total risk-based capital ratios of 13.72%, 8.9% and 14.51% respectively. Now, I’ll turn the call over to Mike, who will review the results of the bank segment.
Mike Hagedorn: Thanks Brian. I’m happy to talk with all of you this morning about the bank segment’s financials and business drivers which can be found starting on slide 15. As you'll see in this slide, the bank segment's pretax net income for the third quarter was $19.5 million and the pre-tax profit margin was 16.1%. Continued pressure on the margin means that it is just as important as ever to grow our loan portfolio. Volume increases in the portfolio offset the impact of declining margin and with net loan growth of 9.2% compared to the period ended September 30, 2013; we were able to maintain net interest income without losing much bound to competitive pricing in the marketplace. C&I loans increased $162.9 million or 4.8%, commercial real estate loans increased $171.2 million or 10.5% and commercial construction loans increased $123.2 million or 100.5% all compared to the third quarter 2013. As you will see on slide 18 in the deck, our top two markets for loan growth on a percentage basis are Dallas/Ft. Worth and Phoenix. On a volume basis, our top three markets for growth are Kansas City, Dallas/Ft. Worth and Phoenix. New loans in Kansas City were 41% of the increase, production in Texas represented 18.7% of new loans and Arizona's new loans were 17.4% of the increase in the third quarter of 2014. In the personal lending space mortgages and HELOCs primarily to our private wealth management clients also contributed to the increase in loan balances. Residential real estate loans ended the quarter at $316.8 million, an increase of 15.7% compared to the third quarter of 2013 and HELOCs increased 9.8% to $629.5 million, a record for UMB. As Brian mentioned earlier in the call, we enjoy a low cost of funds due to a significant amount of non-interest bearing deposits. Another source of strength for our bank is the diversity of those deposits. For example, if you look at slide 17, you will see that healthcare services deposits as a percentage of average deposits was 3.1% three years ago. Today, those deposits are 6.5% of average deposits as of the third quarter 2014. We believe that with diversity comes stability, which is a foundational element of our business model. Moving to the asset management businesses within the bank where we focus on institutions and high network individuals, I'm pleased to announce that assets under management have reached $11.5 billion, an increase of 18.1% from $9.7 billion in third quarter of 2013. Assets managed by Prairie Capital Management increased $794 million and assets managed by private wealth and institutional asset management increased $899.6 million. With that, I'll turn the call over to Peter to finish up our prepared comments with the discussion on the performance of our fee-based segments.
Peter deSilva: Thanks Mike and good morning to everyone. For the final part of our call, I will review results from our other three segments; institutional investment management, payment solutions and asset servicing. We'll start with institutional investment management, which is comprised of Scout Investment and can be found beginning on slide 20. For the third quarter of 2014 versus the same period a year ago, non-interest income was flat, while expenses decreased just less than 1%, the result of net income before tax of $13 million for the pre-tax profit margin of 38.4%. At quarter-end, assets under management were $30.6 billion, an increase of 4.5% compared to third quarter 2013. Scout Investments experienced net negative flows for the third quarter of $1.1 billion and total market impact was negative $664.2 million. On a year-to-date basis, net flows for Scout were negative $781.4 million and market impact was a positive $241.2 million. Slide 21 provides more detail on equity and fixed income AUM drivers for the quarter. The Scout Funds experienced net outflows of $1.3 billion for a third quarter flow rate of negative 8.9%. Year-to-date, the Scout Funds flow rate is negative 15.5%. It was a challenging quarter for Scout Equity fund flows with $1.36 billion in net outflow, substantially all of which came from the Scout International Fund. The fund has experienced the period of relative underperformance against its benchmarks, which is specific data of the outflows. Our investment team continues to manage the fund in a consistent fashion as we have over the past 20 years. We remain focused on holding high quality stocks, it is essential to outperform over the longer-term and through full market cycles. Recently we’ve experienced an environment where lower quality stocks have valid versus higher quality stocks of that’s hurting a relative performance versus the benchmark. In terms of future flows it’s hard to predict with any precision what will occur from here on out. Looking at flows for separate and other managed accounts, we saw net inflows of $196.5 million for the quarter bringing the flow rate to a positive 1.1%. Year-to-date, the flow rate for separate and other managed accounts is a positive 9.6%. Slide 22 shows assets under management by product type. And slide 23 shows AUM by strategy. At the end of the quarter Scout Investments stood at 59% fixed income and 41% equity assets. Also during the quarter we were pleased to announce that we have reached agreement with the principles of Reams Asset Management to extend their employment agreements from additional seven years through 2022. As you know, performance in the money management business can fluctuate. As such, we understand the importance of the diversified business model that includes different investment strategies to minimize risk over the long-term. To that end, we have launched several new strategies in the past five years and we continuously evaluate strategic priorities including not only new strategies but also M&A activity such as the acquisition of Reams Asset Management. Next, I will discuss the payment solution segment. As you can see on slide 24, pretax net income was $10.9 million and the pretax profit margin improved to 31.2%. Looking at the bottom of this slide, third quarter purchase volume for the segment was $2.1 billion, an increase of 28.5% compared to the same quarter a year ago. On the next slide, you will see that healthcare purchase volume of $1.1 billion represented 51.2% of total third quarter purchase volume. Within healthcare's purchase volume, $208 million is attributable for the healthcare virtual cards. A virtual card is a single use payment mechanism that insurance companies use to pay medical providers. As you can see in slide 25, this product continues to gain traction as a percentage of healthcare related purchase volume. Total interchange revenue was $18.6 million, an increase of 13.3% year-over-year for the quarter. Revenue earned from transactions made with traditional credit card provided 68.6%, while interchange revenue attributable to all of our healthcare card payments was 17.9%. It's important to note that healthcare interchange is a net revenue number, reflecting the various sharing arrangements between our business and the third-party administrators we work with to distribute our product. To highlight additional detail on our healthcare services line of business, HSA deposits increased 38.3% compared to the third quarter of 2013 to $824.8 million. HSA investment assets increased 63.6% to $67.8 million. The number of HSA accounts reached 477,000 for a 45.7% year-over-year growth rate. Flexible spending arrangement benefit cards reached 3.1 million issues, which is $629,000 or 25.1% increased compared to the third quarter of 2013. Year-to-date, we have processed 1.7 million VCard payments versus just 339,900 payments at the same point last year. In the more traditional credit and debit card space, the commercial credit card products in terms of both purchase volume and interchange increased nicely for the third quarter. Purchase volume for commercial cards increased 13% year-over-year and was 17.2% of total card spend. To round out the discussion on payment solutions, I might also mentioned that like most card issuers, we are not immune to retailers’ data breaches and year-to-date related costs for fraud losses and card reissuance, they have totaled approximately $1.9 million, an increase of 16.1% compared to the same period last year. The final segment I’ll discuss today is asset servicing. Branded as UMB Fund Services in the marketplace, this segment provides back office fund accounting, administration, transfer agency, custody and other services to advisors of mutual funds and alternative investments. We enjoy enviable reputation for still being a high touch service provider. As you can see on slide 27 for the third quarter of 2014 compared to the same period a year ago, pretax net income increased 21.3% to $4.6 million resulting in a pretax profit margin of 19.3%. Asset servicing ended the quarter with $198.8 billion and assets under administration compared to $181.7 billion at the end of the third quarter of 2013. We added 46 new fund accounting and administration clients in the past 12 months, which increased AUA for this business by 22.6%. For additional metrics on the fund services businesses, please see slides 27 and 28 which provide additional detail regarding the segment's performance this past quarter. The results from all of our segments contribute to our ability to execute on our overall strategies of sustainable growth and expanding diverse revenue sources. Along with strong credit quality and effective capital management, we have a uniquely diverse business model that has stood the test of time. I'd like to thank you for joining us today. We appreciate your interest in our company. And with that, I'll hand the call back over to the operator who will open up the line for your questions.
Operator: Thank you. (Operator Instructions). And well go first to Matt Olney with Stephens.
Matt Olney - Stephens: Hey, thanks. Good morning guys.
Mariner Kemper: Good morning Matt.
Matt Olney - Stephens: Hey, I want to ask about the card business. It looks like that the volume trends are fine but we saw that effective interchange rate increased now for the last few quarters. Can you highlight what the drivers of that are as to why the interchange rates kind of stabilized? And remind us of the pushes and pulls of that going forward from here.
Peter deSilva: Hey Matt, it's Peter. What you're seeing really is just a mix change that's been going on in that business as our healthcare platform has grown considerably. As we noted, those generally come with a lower interchange rate than our credit and debit cards do. Our commercial credit card in fact carries the highest yield from an interchange standpoint, then consumer credit cards, debit cards and then healthcare is the lowest rate. But we are seeing it ramp back up as the mix continues to move around a little bit.
Matt Olney - Stephens: And what about the past, you talked about that you had shared some of that revenue with some of the partners but you thought that was going to fall off. Is that kind of what we’re seeing more recently?
Brian Walker: Each [product] is different and we continue to book new business and those relationships are unique. And so it’s hard to predict what might happen in the future, but it clearly has stabilized and I think that will be the trend as we go forward.
Matt Olney - Stephens: Okay, thanks. And then switching gears over to the trust and securities processing item, the institutional AUM sequentially decreased but the income from that on trust and securities is relatively stable. Can you remind us what the lag is on your investment fees as a percent of AUM and what kind of headwind could that mean for that line item in the fourth quarter?
Brian Walker: Let me take that one too, Matt. Average assets are how we get paid and so sometimes we talk about end of period assets, sometimes we talk about average assets. And so there is generally a lag as those fees are attached to the averages not necessarily to the end of period. As we go forward obviously when you lose assets your fees are going to come down, but I will tell you we’ve been able to replace a lot of the asset loss with the fixed income flows that you’ve seen and we feel very optimistic with the changes at [Tempco] and others that the pipeline there is very strong and hopefully we’ll be able to substitute some of the loss of equity assets with our fixed income opportunities.
Matt Olney - Stephens: And Peter, how similar are the fees for equity versus fixed income and could that kind of mix shift kind of drag the overall percent down?
Peter deSilva: So, a couple of variables there that you need to think about; one, is it a fund versus the separate account, is it equity versus fixed income, but in a general way equity fees tend to be 2 to 2.5 times higher than fixed income fees. But again, it does depend on the vehicle because if it’s separately managed account for example, we don’t have a lot of the platform fees that we pay our partners. And so -- and that net number, good number that you’re thinking about for modeling is probably 2 times to 2.5 times.
Matt Olney - Stephens: Okay. Thanks for the color.
Mike Hagedorn: Yes.
Operator: And we'll take our next question from John Rodis with FIG Partners.
John Rodis - FIG Partners: Good morning guys.
Mike Hagedorn: Good morning.
Peter deSilva: Good morning, John.
John Rodis - FIG Partners: First off, good luck.
Peter deSilva: Yes.
John Rodis - FIG Partners: I guess first off a question on expenses. I think Mariner in your prepared remarks you said that the adjustment to the earn out was $2.2 million, is that correct in the quarter?
Mariner Kemper: That's correct, yes.
John Rodis - FIG Partners: Okay. I was just wondering if you look at operating expenses, if you back that number out, was there anything else in there this quarter that you would consider maybe a little bit elevated or more one-time in nature because I guess just looking at the line items, it looks like occupancy and equipment were both a little bit up linked quarter?
Mariner Kemper: I think I got to take you back to the prepared remarks where we sort of summarized that; I can't really take you in and out of that analytical work. So, nothing that I’ll call out other than what was in the prepared remarks.
John Rodis - FIG Partners: Okay. Fair enough. Maybe Brian, a question for you on the tax rate, it did drop down a little bit this quarter. Can you -- what do you sort of expect on the tax line item going forward?
Brian Walker: We continue to expect the 27% effective tax rate which is fairly flat with last year that ended up at 27.2%.
John Rodis - FIG Partners: Okay. And Peter, I guess just sort of back to the discussion on the international fund, do you have any I guess as far as early indicators on the fourth quarter as far as how the funds -- how outflows or inflows have looked in October?
Peter deSilva: Really nothing that I'm prepared to comment on this morning.
John Rodis - FIG Partners: Okay, okay. And I guess just maybe one other question as far as you guys talked a little bit about the strong growth in the Dallas market. Can you maybe just sort of give us a little bit of I guess an idea of what sort of loans are putting on down there?
Mariner Kemper: I'll take, it’s Mariner. It's really right in line with the kind of business we've always done; C&I, middle market, a little energy service just because of the market kind of high a little bit to the energy market, energy space, but really this middle market C&I and commercial real estate type of lending (inaudible) else. So, we just have really solid teams on the ground and we’ve hired well, we lift out a small group of people for work and teams are just doing a great job.
John Rodis - FIG Partners: Okay. And Mariner, are there any plans to open up any new LPOs in the next few months or quarter?
Mariner Kemper: There are not.
John Rodis - FIG Partners: Okay.
Mariner Kemper: Executing what’s left under our nose is plenty opportunity right where we are.
John Rodis - FIG Partners: Okay. Fair enough. Okay. Thanks guys.
Operator: And we'll take our next question from Peyton Green with Sterne Agee.
Peyton Green - Sterne Agee: Yes. Good morning. I was wondering maybe Mariner if you could talk about the yields you’re getting on the construction and development loans I know the category from a very low level doubled year-over-year and also commercial real estate has been a more significant component of the volume growth. Maybe if you could talk about the yields you’re getting on C&D and CRE versus where your -- what the yield was on the C&I book in the quarter?
Mariner Kemper: Well, in general the yields are coming down slightly on the new business and were replacing the business growing off of our yields. So in general, yields -- while compression is lessening, we still have seen a little bit of compression there. Mike, do you want to state what's happened exactly there in construction?
Mike Hagedorn: Sure. Peyton, this is Mike. On a year-over-year basis, this may not get at the kinds of loans but it will give you some idea of what the yield decrease year-over-year which is 11 basis points and the commercial portfolio is made up of 3 basis points are the result of new customers. That's about 700 million; those folks are just buying at slightly lower rates. We have about a 2 basis-point reduction from existing customers. The good news is existing customers are borrowing more. I guess the bad news is that the rates are little bit less than the average. And then we lost 5 basis points as a result of pay-downs and pay-offs and those had a much nicer yield, almost 3.5%. So that kind of the mix of what's going on. It really as you look at yield reduction, it’s going to be a function of pay-offs and pay-downs which we have talked about last quarter and we have those again in the third quarter, albeit they're starting slow a little bit and then the mix change.
Peyton Green - Sterne Agee: Okay. And then just kind of the guidance, if we step back a year ago, was closer to I guess expense growth being sub 5% and revenue growth being hopefully solidly higher than that. Looking at the third quarter, backing out the noise from Prairie and the contingent liability accrual, expense growth was 5% and revenue growth was 4%. I guess I mean going forward, I mean is that still kind of a way you are thinking about it or are you okay to continue to invest in the business and accept the lower revenue growth rate?
Mariner Kemper: Well, I would say we would expect of ourselves a higher revenue growth rate over time with investments we're making. So that's our expectation over the long run. We’re certainly more focused on the operating leverage and what outcomes we have from the efficiency ratio, again over a longer period of time, and then we are really -- what our expense growth rate is because we are investing in our business and we’ll continue to invest in our business. As you know Peyton, following us for a long time, it’s a company with a lot of technology needs and multiple business lines. So, we’re always going to be investing and really we expect of ourselves and you should expect to see operating leverage from those investments not so much, a lot of conversation about the expense growth control.
Peyton Green - Sterne Agee: Okay. And I guess, I mean, is that realistic given the rate environment and the continued persistence of a low rate environment? I guess just thinking about it marginally the…
Mariner Kemper: Obviously that’s a low interest rate environment is a headwind for us and will continue to be. So, we will obviously continue to do everything we can to control expenses. We’re always doing that. We demonstrated that still pull levers, many levers over the long-haul. So we’ll continue to look for those opportunities. Yes, we do think we can continue to invest and see improvements. Obviously on the interest rate side, the game for us is volume. And so we’ve demonstrated that we can produce volume. You haven’t asked this question yet, but the fourth quarter pipeline for loans continues to be strong. So, we expect that volume brings us home against the interest rate environment.
Brian Walker: Remember one thing Peyton, if you think about the volume change that Mariner just talked about and we’ve obviously shown an ability to increase our loan to deposit ratio, so we’re doing it. And you think about what the higher interest rate would mean to the balance sheet at UMB today where we've been trying to get more asset sensitive. If you look at the disclosures we have around re-pricing on our loan book, you can see what we have in our investment portfolio. When rates go up, we don't have to build new branches, we don't need new technology and that's when you really start to see that operating leverage that you're looking for.
Peyton Green - Sterne Agee: Yes. Okay, all right. And last two questions. One, Peter, could you comment on whether the expense waiver or fee waiver rather will roll on the unconstrained mutual fund on October 31? And then secondly maybe a more general question might be for Brian. Expenses historically have gone up significantly in the fourth quarter. Would you expect that this fourth quarter versus the third or do you think flatter versus the third? Thank you.
Peter deSilva: So, we are going to see the fee waiver in place and captivated today, we are seeing a lot of competition for Tempco assets quite generally. I don't know if you saw it yesterday, but Blackrock has reduced their fees on their fixed income products, either fixed income products anywhere from 5 basis points to 7 basis points. We're not planning to do that to be more competitive, we think our fees are already competitive. But we are going extend the fee waiver.
Brian Walker: Yes. Maybe jumping straight into your question about fourth quarter expenses, obviously I can't give guidance on what I believe the expenses will be in the fourth quarter. I don't see that continued trend year-after-year. We continue to be focused on our expenses and controlling those expenses quarter-after-quarter.
Operator: (Operator Instructions). We'll go next to Chris McGratty with KBW
Chris McGratty - KBW: Hey. Good morning everybody.
Mariner Kemper: Hey Chris.
Mike Hagedorn: Good morning, Chris.
Chris McGratty - KBW: I'm going to ask you [loan yield] question a little bit differently, it was down about a basis point sequentially and I think a part of it deals with the shift in construction loans a bit. But I was wondering if they’re seeing any kind of narrowing of the spread between new production and what's (inaudible) I appreciate the comment on a year-over-year basis. But I guess what I'm asking is, are we close to a bottom or inflection kind of loan yield all is equal?
Brian Walker : Yes. Actually the linked quarter reduction of only 1 basis point isn't so much about the mix as it is pay downs and pay-offs. So, we had $452 million within average weighted rate of 293. And so, that's really the bigger driver not so much the mix. And that’s not something we control, obviously a lot of these issuances are instances I should say are the result of businesses being sold and it just depends on what kind of lending activity those folks have and what it is relative to the average rate on the portfolio.
Chris McGratty - KBW: Okay. Just maybe I understood. Do you have the what the average rate of production was in the third quarter relative to the 350?
Brian Walker : Yes. I want to make sure you're asking what is the production number for just the third quarter…
Chris McGratty - KBW: What's the blended yield of all the loans that you on the balance sheet in the third quarter? (Technical Difficulty) And as we said in previous conference calls, we are active in that space, we are looking for opportunities. And that's where we are.
Chris McGratty - KBW: Great. Thanks for taking my question.
Brian Walker : Yes.
Operator: And we have no further questions on the phone at this time.
Abby Wendel: Thank you very much for your interest in UMB and for participating in our call this morning. Please note that this call has been recorded and will be available on our website umbfinancial.com beginning this afternoon through November 12. For those who have questions following the call, you are welcome to contact UMB Investor Relations at 816-860-1685. Again we appreciate you joining us today.
Operator: Again that does conclude today's presentation. We thank you for your participation.